Operator: Ladies and gentlemen, thank you for standing by and welcome to the TechnipFMC Third Quarter 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to your speaker today, Matt Seinsheimer. Thank you, please go ahead.
Matt Seinsheimer: Thank you, Lisa. Good morning and good afternoon and welcome to TechnipFMC's third quarter 2020 earnings conference call. Our news release and financial statements issued yesterday can be found on our website. I'd like to caution you with respect to any forward-looking statements made during this call. Although these forward-looking statements are based on our current expectations, beliefs and assumptions regarding future developments and business conditions, they are subject to certain risks and uncertainties that could cause actual results to differ materially from those expressed in or implied by these statements. Known material factors that could cause our actual results to differ from our projected results are described in our most recent 10-K, most recent 10-Q and other periodic filings with the US Securities and Exchange Commission, the French AMF and the UK Financial Conduct Authority. We wish to caution you not to place undue reliance on any forward-looking statements, which speak only as of the date hereof. We undertake no obligation to publicly update or revise any of our forward-looking statements after the date they are made, whether as a result of new information, future events or otherwise. I will now turn the call over to Doug Pferdehirt, TechnipFMC's Chairman and Chief Executive Officer.
Doug Pferdehirt: Thank you, Matt. Good afternoon and good morning. Thank you for participating in our third quarter earnings call. On the call with me today are; Maryann Mannen, Chief Financial Officer and; Arnaud Pieton, President and CEO elect of Technip Energies. We delivered solid operational results in the third quarter, just months after the start of one of the most challenging periods the global community has ever faced. I want to once again thank our entire workforce for the resilience and dedication that they have shown throughout these unprecedented times. Our success is evident in our ability to continue winning, to continue executing and to continue accelerating our business transformation, while remaining steadfast in our focus on health and safety. In the quarter, inbound orders exceeded $2.2 billion, largely driven by Subsea. This was our strongest quarter thus far in 2020 and represented a sequential increase of 45%. Our strong results stem from the success of working collaboratively with our clients, where our innovative solutions demonstrated excellence in execution and financial help provide our customers with confidence to move forward projects during such challenging times. Total company adjusted EBITDA was $321 million, with a margin of 9.6%. Importantly, all three segments showed sequential margin improvement as the execution momentum continued across the portfolio. And looking at our business transformation, we continue to accelerate our cost reduction efforts and have already achieved the full targeted run rate savings of more than $350 million. As we leverage our new business models, innovative technologies and digital solutions, we will continue to drive further cost reduction and efficiency gains across the organization. Taken together, our inbound orders, our operational results and our cost reduction initiatives provide us the confidence to reaffirm our full year guidance for 2020. As our clients continue to reprioritize their portfolio of investments, we have seen an improvement in our award activity. Having announced 6 projects globally since July, totaling $2.8 billion in aggregate contract value. Well most of these projects were already in our backlog, the EPC contract for the Assiut Hydrocracking complex, a Technip Energies award that exceeds $1 billion is anticipated to be inbound in the fourth quarter. We also announced an award from Shell for the revamp of their Moerdijk plant, where we will provide proprietary equipment and related services for 8 ethylene furnaces. This award further demonstrates our leadership in ethylene technology and helps drive a reduction in CO2 emissions. In addition, our LNG opportunity set remained strong as we have been awarded 2 major projects, which will inbound upon FID by the client. For one of these projects, Sempra's Energia Costa Azul, the client has indicated a likely FID by year end, and we are actively tendering a major project in Qatar, a prospect with good momentum is evidenced by recent award announcements for several project work scopes. While we believe TechnipFMC is well positioned for this opportunity, the EPC contract is being competitively tendered. In Surface Technologies, we continue to leverage the strength and resilience of our leading international franchise with 2 important growth opportunities captured in the quarter, both in the Middle East. In Kuwait, we received an award for high pressure gas equipment and in-country services. And in Oman, we secured a five-year frame agreement with Petrogas, an operator that has significant drilling plans in the country. We believe these awards provide us the opportunity to further expand our market share across the region. And in Subsea, we were awarded our latest iEPCI project with Shell in Malaysia. It incorporates our Subsea 2.0 technology, as well as a diverse set of other projects in some of the most active basins in the world. In Brazil, the Petrobras Mero 2 project, in Norway, the Breidablikk project for Equinor and the ExxonMobil Payara Project in Guyana. 50% of these projects were the result of a direct award to our company, due to our unique capabilities, our competitiveness and our technology leadership. These awards clearly demonstrate the resilience of strategic offshore basins where through cycle economics are highly competitive within our clients' investment portfolios. We remain on track to secure approximately $4 billion of Subsea inbound for the full year. Looking ahead, we see a healthy set of Subsea opportunities and we continue to grow our proprietary market opportunities by focusing on long-term strategic relationships with our partners, to optimize project economics and returns, utilizing our unique and proven iFEED, iEPCI and iLOF capabilities. Therefore, I am pleased to announce another exclusive alliance with an operator in the UK North Sea leveraging our integrated Subsea business model, iEPCI to support and optimize future development opportunities from the early concept phase through production and Life of Field services. Additionally, our Front End Engineering teams remained very active. In fact, we have seen an acceleration in study awards in recent months, with double-digit growth now expected above our prior expectation. And half of our study to days are integrated, which leverage the benefits of our digital Subsea Studio offering and positions us well for future iEPCI awards. Digital is another key enabler of our business transformation and our digital strategy is focused on three pillars; becoming a data-centric company, developing intelligent products and assets and driving towards autonomous operations. Subsea Studio and our recently introduced iComplete offering are 2 solutions that exemplify these pillars and further expand our leadership position. Let me start with Subsea Studio. This solution is transforming the conventional concept, feed and tendering phases of Subsea projects. Working with our clients, we are now able to develop ultra-fast digital field architectures that bring together decades of engineering knowledge with artificial intelligence and machine learning to optimize product configurations, accelerate execution and maximize value. Subsea Studio has an open architecture that allows integration with other engineering and manufacturing systems, eliminating the need for multiple handoffs and resulting in as much as a 50% reduction in the time required for Front End Engineering. And we are extending the platform beyond Subsea system design to incorporate the execution and field management phases of a project. Once fully implemented, we'll have a complete digital thread from concept design all the way through to the life of the field. And we are taking our learnings in Subsea and applying those on land. iComplete is a revolutionary approach to shale completions. And we're the only company to focus on making a completions pad that is truly integrated, efficient and simplified with digital automation and control. iComplete has 50% fewer components and reduces operating expenditures by 30%. The integrated system also removes 80% of connections across the well site, improving efficiency, while reducing risk. Digital integration is a key element of the iComplete package. All of the data gathered at the site is available in real-time. It is actionable information that enables operators to make evidence-based decisions at every step of the process. And when combined with the automation features, it reduces personnel required on site by up to two-thirds. iComplete is experiencing broad market acceptance, with award secured from operators at all major US basins, leading to increased market share. Earlier this month, we announced that Arnaud Pieton will assume the role of President and CEO elect of Technip Energies, and I would like to welcome him to the call with us today. Arnaud has been with the company for over 15 years and a valued member of our Executive Leadership team since the formation of TechnipFMC. He has extensive project related experience and he most recently led our Subsea business, taking it to new levels of commercial and technological success. Simply put, he is a seasoned professional and an integral part of the foundation of the company we know today. Well Arnaud will undoubtedly bring new energy and new ideas to his new role, he and I are fully aligned on business strategy and committed to realizing a successful future for Technip Energies. And what an exciting start to his new role. Just last week, we announced the strategic partnership and investment in the green hydrogen arena with McPhy, a leading manufacturer of equipment used in the production and distribution of green hydrogen. We are already a leader in hydrogen today, and with McPhy, we will leverage our established brand and customer relationships, as well as our core competencies in engineering, technology integration and project execution to develop large scale and competitive green hydrogen solutions from production all the way to liquification, storage and distribution. We're also joined by Chart Industries, whose expertise in equipment development is complementary to our process technology and project capabilities. We firmly believe that both innovative technologies and partner collaboration will be needed for the world to achieve net zero carbon targets. And this collaboration between the McPhy, Chart Industries and ourselves stands as a real example of the many ways in which TechnipFMC will play a material role in the energy transition. I will now turn the call over to Maryann to discuss our financial results in more detail.
Maryann Mannen: Thanks, Doug. Total company revenue was $3.3 billion in the quarter with adjusted EBITDA of $321 million. Backlog at the end of the period was $19.6 billion, with $12.2 billion scheduled for execution through the end of 2021. The size and duration of our backlog have remained resilient throughout the current downturn and provide us with strong visibility over the next several years. I will focus my comments today on our sequential performance. In this environment, it is important for us to more clearly demonstrate the underlying improvements in the quarter. Total company revenue increased 6% sequentially, driven by higher activity in Subsea. Adjusted EBITDA improved more than 30% versus the second quarter, driven by strong project execution, higher asset utilization and increased benefit from our cost reduction activities. As Doug discussed earlier, we completed our targeted run rate cost savings of more than $350 million ahead of schedule. We see the benefits of this in our indirect cost, including corporate functions. Cash flow from operations was $168 million in the quarter, capital expenditures were $73 million, resulting in free cash flow of $95 million. Net cash improved sequentially to $384 million and benefited from significant debt reduction activities during the period. Net liquidity stood at $6.6 billion. Adjusted earnings per share was $0.16 in the quarter, when excluding after-tax charges and credits of $0.17 per diluted share. In the period, we identified direct COVID-19 expenses, totaling $36 million, down 35% sequentially. Over the course of this year, we have adapted quickly to mitigate the incremental cost impacts of the virus on our business. Included in our reported results were foreign exchange gains of $6 million or $0.02 per diluted share, and the expense resulting from increased liability to joint venture partners of $62 million or $0.14 per diluted share. These two items impacted earnings per share by $0.12 in the period and if excluded, our adjusted earnings would have been $0.28 per diluted share. Let me turn to the segment highlights. The information in the accompanying slide on segment results provides operating highlights when comparing to the third quarter when comparing to the third quarter of 2019. But here again, I will focus my comments on our sequential performance. Third quarter Subsea revenue increased 9% sequentially to $1.5 billion, due to continued improvement in operational performance. We experienced increased project activity in the US, Asia and Africa as well as increased activity in Subsea services. Sequentially Subsea adjusted EBITDA margin of 9.7% increased 250 basis points, driven by project completions, improved asset utilization and increased efficiency. In Technip Energies, revenue of $1.6 billion increased 5%, primarily driven by the improvement in operational efficiency within our supply chain and construction sites. Importantly, our projects are progressing well. These same factors, as well as the continued strength in execution across our portfolio projects also benefited adjusted EBITDA, which increased 7% sequentially to $175 million, with a margin of 10.9%. In Surface Technologies, revenue of $226 million declined sequentially due to lower market activity in North America. However, revenue outside North America was largely unchanged and accounted for nearly 70% of our total segment revenue. Despite the decline in segment revenue, adjusted EBITDA margin of 7.7% increased 430 basis points sequentially. The significant improvement was primarily due to a favorable product mix, the benefit of our accelerated cost reduction initiatives and improved manufacturing execution in our international business. Adjusted corporate expense in the period was $24 million, driven by the acceleration of our cost reduction initiatives. Year-to-date corporate expense stands at $89 million. We revised our corporate expense guidance last quarter to a range of $130 million to $150 million for the full year. Given the actions we have taken, we continue to trend towards the low end of this range. Our financial guidance is unchanged from our second quarter update. We remain confident in achieving our full year outlook in each of our business segments, assuming no further material degradation from COVID-19 related impacts. Turning to cash flow, capital expenditures were $73 million and now totaled $250 million in the first nine months of this year. We remain committed to disciplined capital investment and are confident in our full year capital spend of approximately $300 million. The improved operational momentum experienced throughout the quarter supports our confidence in achieving our free cash flow guidance of neutral to $150 million for the full year. In the quarter, we reduced debt by $647 million, with net reductions in both commercial paper and fixed maturity debt. These actions have reduced our absolute funding cost, while lowering our blended interest rate. We ended the period with cash and cash equivalents of $4.2 billion. Net cash improved $81 million sequentially to $384 million. In summary, we delivered solid operational results with all segments showing sequential improvement in adjusted EBITDA margin. We continued winning new awards despite the very challenging market backdrop, with the sequential increase in Subsea backlog. And we have achieved our targeted run rate savings of more than $350 million ahead of schedule. Beyond the operating line, we significantly reduced debt in the period and we remained intently focused on managing the balance sheet. Sequentially, our net cash position increased and we expect further improvement in the fourth quarter, as implied by our full year cash flow commitment. All of these successes give us confidence that we will deliver on our financial guidance for 2020. Operator, you may now open up the call for questions.
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Sean Meakim from JP Morgan. Your line is open.
Sean Meakim: Thanks, everyone.
Doug Pferdehirt: Good morning, Sean.
Sean Meakim: So maybe we could start with a little more on the free cash flow guide that seems to be really the critical piece reiterating that guide for the fourth quarter. Could you maybe just walk through a couple of the moving pieces as you see it? And then just thinking about working capital implications and if we think about free cash flow and the mandatorily redeemable liability, what could cash look like as we exit 2020?
Maryann Mannen: Sure, Sean. Thank you and thanks for the question. So, you know, with one quarter remaining obviously, we have strengthened conviction in operating performance. So that will deliver obviously increased cash flow as you've seen working capital is improving from our middle of the year and we expect to see continued working capital improvement in the back half the year. I think as we discussed maybe last quarter, you know, we've identified a range of outcomes that would potentially deliver the neutral to our $150 million and we still see a clear path, given the opportunity for performance in the back - sorry, in the fourth quarter. I think your second question was around the payment for the Yamal redeemable liability. And we continue to expect in the fourth quarter that we'll have approximately $100 million payable, as you know, that's below the working capital line and below that free cash flow from operations. So we do expect as we head into 2021, that obviously we'll see that free cash flow improvement and net cash as I had mentioned in my comments, we will see improvement as well.
Sean Meakim: Got it, thank you for that. I appreciate that explanation. And then I think the other really critical piece for the stock today is getting to a resolution on Technip Energies. And so clearly, Doug, you know, your commitment to the spin has been unwavering. Can we maybe just get a little more transparency around the gating items to executing the spin? And are there any other dual tracks that you're running around value creation with this business? Just looking to really, I guess get as much granularity we can on how we get to the finish line on that piece? Thank you.
Doug Pferdehirt: Certainly, Sean and thank you for the question. You're absolutely right. I remain steadfast in my conviction to the creation of Technip Energies, as an independent company. The strategic rationale remains unchanged. And I would say, if anything, it has become clearer in the importance of moving forward with such a transaction. I think it's important though when we think about your question around what could be triggers, et cetera, is to reflect back on, you know, what led to the decision, a difficult decision at the time to defer the transaction. And that, you know, to me, there was really three factors that weighed into that decision. One was complete panic in the financial markets, driven by both the pandemic as well as the commodity price. There was a lot of - secondly, there was a lot of uncertainty in our clients' plans at the time. And then finally, it really came down to ensuring that we had an environment that was conducive to what I'd like to say us leaning in versus us leaning out in terms of our position within the industry. So when we fast forward to today, certainly there's still anxiety and uncertainty in the market, and there always will be. But I think we've come past that point of just a complete fear and panic and, you know, a concern about where the bottom could actually be. In terms of the industry, I think it's been quite remarkable. And as evidenced in our Q3 results here in the inbound numbers that we just shared with you for Subsea, if anyone's done them, you know, had an opportunity to look at the math, it's a 1.1 book to bill for the third quarter for Subsea, which was quite a substantial win and winning very important and strategic projects and 50% of those being direct awarded to our company. We're in a really unique position. And that really takes us to the third part, which is, you know, we're leaning in, we're winning. So when you kind of put those three together, I would say, we feel we're in a very different environment than we were in at the time that we suspended, where we didn't know what our customers plans are going to be, for instance, we weren't sure what impact it was going to have on our backlog. I can reaffirm today there have been no cancellations at our backlog. We didn't know what impact it was going to have on our supply chain and our ability to be able to execute and deliver some of the world's most complex and strategic projects. And as our financial results indicated across all 3 of our business segments, we continue to execute very well. So we're in a different situation now, Sean. We'll continue to look at what is the right timing and what is the right scenario and structure to move this transaction forward. But it would be our intent to continue to move in that direction.
Sean Meakim: Fair enough. Thanks, Doug.
Operator: Our next question comes from the line of Amy Wong from UBS. Your line is open.
Amy Wong: Hi, good afternoon guys. A couple of questions from me. The first one relates to just some news flow recently that the French government is proposing to end export guarantees for the oil and gas industry. And as - if I - as far as I understand, it's not overnight, but if there's going to be like - oil projects from 2025 and gas projects from 2035. So just wondering like how that might impact TechnipFMC in terms of maybe your clients that may rely on French export credit or you know, for the more maybe, when you guys try to help client arrange export credit facilities, how that could impact your ability to win some of these projects?
Doug Pferdehirt: Yes, good afternoon, Amy. Interesting question. And I think you really used the key word there, which was help or assist. No we don't do project financing. But it is true that from time to time we're in a position that we can try to, if you will, link the two parties together, but that we do nothing more than that and that's the only role that we play in project financing. It is true, we're reading the same things that you're reading. And we're not privy to any additional facts or timeline than you are. But I think it's also realistic to assume if the project has good returns for the client, the project will source funding and that in any single project there tends to be multiple sources of funding, it doesn't rely on any particular single source of funding. So my assumption, Amy, and you know, I - we don't have, you know, none of us can predict the future on this. But I feel quite certain as we've seen over time that the funding has evolved on these major projects from different sources, that a project with good economics would be able - would source funding in whichever way it deems most appropriate. So, you know, we'll wait and we'll see how things play out and we'll continue to play our role, which is nothing more than to help or assist, which we normally don't do. But when asked, we certainly do what we can to support or assist. But again, we're not in the project financing game.
Amy Wong: Great. That's helpful to get your thoughts on that. Just a follow-up and it's still along the lines of understanding your order intake, potential order intake pipeline. I mean, I think your, you know, conversion of orders, you know, in the second half have been pretty good, particularly for both Subsea and for Energies. But to what degree some of those projects kind of, you know, were initiated from or converted from projects that were, you know, you were already in discussions, you know, pre the COVID pandemic, and the purpose of the question here is really trying to understand maybe some early thoughts on 2021 you know, what projects? And have you started new negotiations with clients? Or is it becoming more difficult in a pandemic environment, just to understand your thoughts on directionally how 2021 is going to look like?
Doug Pferdehirt: Sure, Amy. We - I knew we were going to get to 2021 quickly. We got there on the second question. So thank you or no, thank you, maybe. Now look, Amy we'll give you as much. I'll give you some kind of qualitative thoughts, obviously quantitative thoughts at this time would be premature. Our customers are still developing their budgets, their plans for 2021. So they do anything quantitative, I think would be a bit premature, but in the spirit of your question, I'll be willing to give you some qualitative outlook. I'm going to cover Subsea and Surface International and then I'm going to ask Arnaud to make some comments on his thoughts on the subject regarding Technip Energies. So let's start with Surface International. Look, we are continuing to see very strong momentum in our order outlook for service - Surface International. And I keep emphasizing international only because in North America, as you know, it's a book and turn business. So the inbound that we expect to come from the Service International will continue to pick up. I know that's a little a bit contrary into some of the other comments that may have been made about the international market. But I think it's important to understand our position in Surface International, it's actually quite unique. The level and the specifications in technology required for that equipment far exceeds that that's used in for instance, the North American market. There's really us and maybe one other supplier of that high-spec equipment. It's totally - it's vertically integrated. We do it all in-house, it is not outsourced to China or anywhere else, as is - as it is in the North American market. And it requires very, very sophisticated machine tooling and materials to be able to provide that equipment very similar to Subsea, hence the reason we're so successful. So we see that continuing to expand. I mentioned in my prepared remarks, we've always had a strong position in the Middle East, North Africa. We just extended our leadership position in the Middle East, announced a couple of the new awards and we continue to work very, very closely with all of the key players in the region and expect continued success and growing success in 2021. In terms of Subsea orders, what I would say at this point, Amy is, it seems like forever, but it was just a few months ago, a few quarters ago, you know, I mentioned that I felt we could achieve $4 billion of order inbound for Subsea in 2020. I think for the largest part, it was discounted and you know, there's a lot of skepticism around that. Obviously, we've come a long way to achieving that already and we have one quarter left to complete and we remain committed to that. And I think as I, at this point, look towards 2021, I could see kind of a similar, you know, I could see 2021 resemble 2020. Again, it's a bit early, there's some moving pieces still we're trying to lock down with our customers to really understand the timing. And as always, Amy, you know, one large project shifting from Q4 of 2021 to Q1 of 2022 could change things. And that's why I'm saying we just don't have that level of granularity yet from our clients. But when I look at, you know, the success of our execution, when I look at our growing activity in our FEED, which I mentioned in my prepared remarks, it's now it's grown double-digit, the majority of that being iFEEDs, the majority of our iFEEDs are direct awarded to our company, this is that proprietary opportunity set that the rest of the market does not have access to. Again, why we were able to do $4 billion this year, which is the majority of the Subsea market. You know, we expect that to continue on next year again with probably more iEPCI projects and more direct awards. And then finally, it's important not to forget the strength, the resilience of our Subsea services business, that continues to be a strong foundation that we continue to build from. So when you put all that together, again, we have to really understand what projects are going to move forward and the timing of those projects, but I expect that to - you know, I expect 2021 to resemble 2020. And just maybe one last thought, you know, you may have picked up in my prepared remarks. But if you didn't, we signed another exclusive alliance for Subsea. So we're really proud of the progress we're making. Arnaud?
Arnaud Pieton: Yeah, thank you, Doug and thank you, Amy. So for Technip Energies I would add that, you know, as expressed by Doug and his previous [technical difficulty] by Doug in his prepared remarks, there is a potential to inbound for Technip Energies to projects or prospects, you know, exceeding $1 billion each before the end of the quarter, before the end of the year. So it's, I think this alone is, you know, giving you a good idea of what the year can and will look like for Technip Energies inbound full year. And also maybe something that I'd like to share is that for Technip Energies, you know, the LNG wave isn't over yet for us. And there's a very solid pipeline of opportunities into next year as well. And you know, all building blocks are in place I would say for Technip Energies to have another solid year in terms of inbound next year. And one fold of your question was also about are we having new conversations or new types of conversations? And or are we just relying on the you know, past conversations pre-COVID and converting the opportunities? But in actual fact, yes, we are having new types of conversations and new conversations about new prospects and opportunities. And very interestingly, including in a traditional markets or what I'm going to call traditional markets in a position to, I don't know if you know, blue hydrogen and green hydrogen, but there is an energy transition perspective in every other conversation we are having with our customers, including in the more traditional markets with a, quite a huge emphasis on, you know, being placed on, you know, decarbonization by our customers. So, you know, there's a real opportunity set here for us in a grid as well as Brownfield activity set for Technip Energies. So, you know, a nice mix of conversation, if I may say for Technip Energies going forward. Thank you.
Amy Wong: Thank you, Doug and Arnaud for your comments. Thank you.
Operator: Our next question comes from the line of Marc Bianchi from Cowen. Your line is open.
Marc Bianchi: Thank you. I feel like we always end up in this situation with the way you guys put the guidance out where, you know, we've got an annual target and we can kind of solve for fourth quarter. And I know you, you don't want to get into too much detail, but it would be great to hear just any kind of thoughts on the progression from third quarter across the 3 segments. And particularly in Subsea, you know, how much of help was realized in the third quarter related to the project closeout? And what do we think seasonality could do in the fourth quarter?
Doug Pferdehirt: Sure, Marc. I'll cover Subsea as indicated, you know, we had a very solid third quarter, we provide annual guidance, you know, it's not necessarily quarterly guidance and therefore, one can imply the fourth quarter. The fourth quarter will be a bit softer in Subsea, this is the way it always is. The fourth quarter with the exception of maybe one or two instances is always a bit lighter for us and this has to do with the reduced amount of activity, particularly in the North Sea related to our vessel activity and our project reactivity in the North Sea. But the way that I would maybe summarize it is, you know, that we remain very confident in our full year guidance. And Marc I'd add to that, that, you know, keep in mind that we're saying at least 8.5% and we are very confident in that. And did you want more than that Marc on the other?
Marc Bianchi: Yeah, no, certainly, I mean to the extent you can talk about the other businesses, I mean for example, Surface, I would suspect that there's potential for some revenue improvement from third to fourth, just kind of given the momentum that we're seeing in the - in North America. But, you know, perhaps the international exposure is something that could offset?
Doug Pferdehirt: Marc, Surface North America is a bit hard. As you know, a lot of times they run into budgetary constraints at the end of the year and you actually see a bit of softening in North America in terms of the revenue trend in the fourth quarter. But right now, I would say it's a very fluid situation. But we're very proud of our international franchise and the strength of our international franchise. And Arnaud, did you want to make a comment on Technip Energies?
Arnaud Pieton: Yeah, thank you, Doug. I mean not really much to add other than you know even you're being confident in delivering the guidance for the year. So, I know you have three quarters in hand now so it's a, yeah, I mean just confident for the rest of the year so.
Marc Bianchi: Right, okay. Well, maybe if I could just ask a follow-on to '21 is, we just think about the progression of Subsea margin. You know, I think last time we talked, there was some expectation that yeah you wouldn't quite be to the level of utilization where we could really see a nice uptick in margins. But you did mention here in the third quarter, you had had some nice utilization. Just kind of curious how that factor plays out in '21 just based on what you know, right now?
Doug Pferdehirt: Yeah, Marc, industry-wide, the best utilization next year will not be good. So don't anticipate that there's going to be a big uptick in the utilization and I'm talking, you know, across industry, still way too much capacity, projects had gotten deferred as a result of the pandemic that's pushed some things to the right, that's pushed maybe some of the utilization recovery for the industry to the right. Now as you know, we've been selling vessels, we'll continue to pursue that path and it may be cold stalking, it may be selling, it just depends upon what the opportunities present. And we're not building new vessels. And I would encourage the industry to quit building new vessels. We need to learn to work together. And we're going to be the leader in that. And we're going to lead by example. And we're going to continue to form strategic alliances and work with others and make sure that we can feed our very healthy, integrated projects and ensure that we have the capability to deliver and continue to grow those integrated projects. And we're very happy to do that through collaboration, versus through direct ownership and adding capacity into the market. So this is a big change. We're leading that change. It's the right thing to do for the industry and it's certainly the right thing to do for our company and it's most definitely the right thing to do for our investors.
Marc Bianchi: Yeah. Thanks for that, Doug. I'll turn it back.
Operator: Our next question comes from the line of Jean-Luc Romain from CIBC [sic - CM CIC] Market Solutions. Your line is open.
Jean-Luc Romain: Good afternoon. It seems that ExxonMobil is asking for a price reduction for its Mozambique LNG project before it sanctions it definitively. Could you give more your thought for this?
Doug Pferdehirt: Sorry, we were having a bit of trouble here. We had some audio issues here. I believe you were asking regarding some of the recent media coverage and discussions around the Rovuma project, is that correct?
Jean-Luc Romain: That's right.
Doug Pferdehirt: Sorry, thank you very much. Look, as you know, we remain very - in very close collaboration and working very closely with ExxonMobil on this project, an important project for us and for our partners, we remain very excited about this project. And you know, and our singular focus is to work with ExxonMobil along with our partners to ensure that we can reach the best project economics for the project. That's been the way since the very beginning. It's why we were selected and our consortium was selected. And we should expect that we would continue to do so. I don't think there's much more to read into some of the media coverage than just good, normal project practice and project engineering.
Jean-Luc Romain: Thank you.
Operator: And our next question comes from the line of Kurt Hallead from RBC. Your line is open.
Kurt Hallead: Hey, good morning, Doug and Maryann and the rest of the team. How are you?
Doug Pferdehirt: Good morning, Kurt.
Maryann Mannen: Good morning -
Doug Pferdehirt: Very well. Thank you.
Kurt Hallead: Excellent. So Doug, I'm really curious, you know, with the push here that's going on from the industry on reducing, decarbonizing, you know, not just the energy industry, but other industries, you know, a lot of hype around, you know, the hydrogen opportunity and, you know, your participation now with McPhy. So, I'm curious about, you know, what do you see is the potential addressable market opportunity for both Technip Energies and for FTI you know Subsea, you know, piece of the business if there is one that exists. I was just looking for some additional context inside, anything you provide on that would be very helpful.
Doug Pferdehirt: Sure, Kurt, you can't see me, but I have a big smile on my face. But you're not going to fully like my answer, I know that. We have the answer, but I have a keynote presentation in, I think two weeks' time, little less than two weeks' time and I really don't want to steal my thunder or the thunder for the company. But Kurt, I think we're going to have to say will be very, very compelling. The opportunities are our most definitely apply across the portfolio. And we're going to show Kurt and it just our style. I'm not suggesting it's, you know, the best, but it's what we do. We tend to really build our - you know, build up and have some real credible examples, we say, making it real versus just kind of going out, you know, let's say with pure ambition and belief and you've heard us do more and more of that. You've heard me talk about iProduction, reducing future greenhouse gas emissions by 50%. You've heard me talk about Subsea 2.0, reducing greenhouse gases by 47%. And you saw us make our strategic investment in green hydrogen with the recent investment we made at McPhy, which I'm going to ask Arnaud to tell you a bit more about the hydrogen market. But Kurt, I apologize to you. But I promise, the, you know, it's a very compelling message I'd like to deliver that message in the proper setting. And the work has been done, we actually - we will talk about what we have done, where we've been investing, because in some of these areas we've been investing for over five years, this isn't anything new. We're going to talk about the fact that we're doing it, because we believe it's the right thing to do, not because it's, you know, because of a popular demand, you have to believe in what you're doing. And we're going to show real examples of the impact that we're having, we're going to set forth the ambition, overall is going to also set forth a three-year measurable plan and a scorecard that our progress can be judged against. So we're going to focus on those markets where we can actually generate good returns. So we're going to be selective. And you've heard me say that before, there's some very popular offshore markets right now that people were pursuing. But when you really look at it, and it does - it doesn't take long to analyze it, there's just not enough left for the installation company to make a decent return. So these packages are being split - upwards of 8 contractors, which would typically be done between 1 or 2 contractors. So if you're the 8th on the list, if you don't have the technology, if you're not bringing together the integration, if you're not the, you know, if you're just doing the installation, that we don't believe we can generate the type of returns that our shareholders expect from us. So we're looking at other things and you're going to hear me talk about some things in a couple of weeks that I think will really be surprising, but they'll be backed up by facts, they'll be backed up by real examples of what we're doing and it'll be an ambition that is - will be very, very compelling. I'd like to let Arnaud talk a bit about the hydrogen market. This is a market we've been in for quite a while and we're very excited about our recent investment in green hydrogen. Arnaud?
Arnaud Pieton: Yeah, thank you, Doug and thank you, Kurt for the questions. So as Doug stated, you know, we do have as TechnipFMC and Technip Energies a very rich history in hydrogen, you know, we basically we have an installed base that is you know, 270 plants - utilizing our proprietary you know, technology. And when you combine that with our, you know, leading CO2 management capabilities, one can say that we have pretty much everything we need to be a very credible player in the blue hydrogen industry space as it evolves. So, blue is going to mature, green is not totally mature, but will mature as well. And this investment in McPhy is basically a way for us to position Technip Energies to be - to continue to be a leader on, you know, large scale hydrogen market, including the green. So, of course, this is the beginning with McPhy and there might be other opportunities going forward. But part - partnering with McPhy is partnering with a Tier-1 electrolyzer supplier. And we will, you know, help with the iFEED development how to scale and accelerate the technology. And we're super excited about it, because it's a way to be forward-looking and continue on that hydrogen journey that we started many decades ago and where we do have a leadership position. So it's about preparing for the future really.
Kurt Hallead: Great, thanks for that. And, Doug that teaser alone should probably worth about four to five multiple points on the stock, so looking forward to that presentation.
Operator: Our next question comes from the line of Mark Wilson from Jefferies. Your line is open.
Mark Wilson: Thank you. Good morning, gentlemen. I was going to ask on energy transition, but I think you've answered that very clearly and we look forward to that presentation. So maybe I'm just to cover off on that. But firstly that the alliance you've announced in the North Sea, did you give a name for that new alliance partner?
Doug Pferdehirt: They most definitely have a name. It is a very well-known name. But they would like to, let's say, have a bit more - they want to wait for an event and the event is when we will announce our first integrated project with them. We're right now in the integrated FEED phase on their portfolio. And we would expect that to become, you know, to come in, to be one of those, at least one of those to convert into an integrated project, which is when we would then that's a formally announced along with the, our client and partner's name at the same time. We've done that a few times. Again, for us, we, you know, we like that as well, again, it makes it more real, you know, it's not about marketing, it's about reality. And I think once again, the industry will be surprised at, you know, projects that are moving forward and the economics that are move - you know, and it's enabled by the economics because of our unique integrated offering. So we're working on these on a proprietary basis. All we have to do is to move them from the iFEED to the iEPCI, if they convert then ours is a direct award and exclusive relationship, long-term relationship with yet another Subsea operator, we could not be more proud.
Mark Wilson: Excellent, okay. Thank you. And Maryann then to cover up on your mouth. Could I ask what is the profile we should expect those remaining contract liabilities to roll off over? Is that a two-year period or shorter than that? Thank you.
Maryann Mannen: Thank you for the question, Mark. So I would say certainly no more than two years as we are in the warranty phase. And as you know, those trains had multiple warranty periods. This year, you saw a fairly significant unwind. We've had multiple successive quarters of project improvement, we continue to have a high degree of confidence in the execution, excellence and the ability to avoid risk. And therefore, that unwind should be no more than two years, but certainly quite successful as we see the project progression. So we expect that to be a positive result, Mark.
Mark Wilson: Okay, and those revenues will still pass through the top line and the MRI grow as you work off the warranty.
Maryann Mannen: That's correct. They will, they will come through as revenue just as you've seen. Absolutely correct and unwind the contract liability, yes.
Mark Wilson: Okay, thank you very much.
Maryann Mannen: You're most welcome.
Operator: Our next question comes from the line of George O'Leary from TPH & Company. Your line is open.
George O'Leary: Good morning, Doug. Good morning team.
Doug Pferdehirt: Good morning, George.
Maryann Mannen: Good morning.
George O'Leary: On the - I know you guys have historically had a position on the biodiesel front. But renewable diesel seems to be catching more headlines these days. I wondered if you could lay out for us if there's any opportunity for TechnipFMC on that renewable diesel side of the equation and what you guys are kind of seeing in that end market?
Doug Pferdehirt: So you're right, there's been a lot of focus both on biodiesel as well as renewable diesel. I think the renewable diesel market, we all - you know it's still very, very early stages, I think we all need to spend just a little more time before we make too strong of any comments regarding the renewable diesel market. But as you know, the biodiesel market is an area of strength for our company, we couldn't be more proud of the relationship that we have with Neste that continue projects that we have with Neste in this very strong execution that we've had along the way. So I'd like to turn it over to Arnaud to add a few of his own comments regarding the subject.
Arnaud Pieton: Yeah, thank you, Doug and thank you, George. So yeah just it's going to be a short addition to Doug's comments, but other than so but yeah, we do have - we are enjoying a very strong market position today in biodiesel. We have the technology to know how and you know, we have that long history with Neste. And we are their preferred partners and, on the projects, with many references, biodiesel biochemical, biojet. And, you know, there is our technology and that partnership continues to bear fruit, if I may say so. I don't have much to add other than just, you know, we're very, very pleased and very happy about the collaboration and it is deep entities recurring - a recurring one which, you know, which we are enjoying and that when we can have this type of relationship and making us a leader in biodiesel and biofuels. You know, we are happy and we are going to, we are nurturing it because it's an important one for us. But we have many references as you may know and we continue to work with them on scaling each and every time we get on with them.
George O'Leary: Okay. Appreciate the color there. And then Doug, you mentioned the iComplete system earlier, and I appreciate the 50% reduction in equipment and I realize that probably helps from connections point and having to have less people out on the well site just by virtue of having less equipment. But I wondered if you could explain the offering just a little bit more to better help us conceptualize, you know how and why it reduces labor on site and some of the efficiencies that drives you know, even if at a high level just to kind of help us better understand the offering and how it's differentiated versus the competition in the market? It sounds like you're making good headway, getting those systems into every major US basin. So any color there would be extremely helpful.
Doug Pferdehirt: Sure. And it'll be - I'm going to maybe use an analogy, it might not be a great analogy, but I think it helps us visualize, if one hasn't been on, you know, one of these, you know, multi-stage 24/7 kind of operating environments that is happening in most of the US shale today, it's kind of hard to appreciate. So I'll try to visualize it for you. There's just a scurry of activity. And then there's the actual execution or if you will, the pumping of the stage at which point everybody goes back. And it's highly automated and it's really, you know, managed quite efficiently. But it's - what happens between those stages, that is, at best orchestrated and at worst, chaotic. I describe it as a bunch of ants just scurrying around a bunch of simultaneous operations, you're dealing with high pressure regions, you're dealing with a very, you know, trip hazards. It's just - it's very common, it's very complicated. But it's the way that the industry has been doing it forever. I say forever, since I've been around. But what is - we looked at it and we consider ourselves to be an integrated architect. And it's what we do in the Subsea, everything in Subsea uses automation and control, you don't have people running around in between operations, because obviously, they're unable to because it's at the bottom of the ocean. So we said, “Well, why can't we do that on Surface”. And of course, initially, people say, “Oh, it's not possible, it's not applicable, et cetera. But when you put really smart people on it, and we have a tremendous amount of really smart people and talented people, and give them the challenge, it's amazing what they're able to do. And what they were able to do was to look at it and take that part of the activity that nobody owned, it's owned by many different contractors, and say, “What, why doesn't somebody kind of, you know, take charge here and really find a way to make most of this activity automated, removing that interface, removing all of those activities, and at the same time, accelerating, improving the overall efficiency, and most importantly, the safe environment in which to operate. And it's really quite amazing. And I don't know if I'm giving it just as the way that I'm describing it to you. But you know, we went from a best orchestrated to worst chaos to now something that's, you know, remotely operated, the client controls everything from an iPad. All of those activities that have to happen in between are now, you know, are now fully automated. And it's quite meaningful and the market acceptance, you know, it was barely introduced. I know, it's the first time we're talking about iComplete on an earnings call. It's really because it's relatively new. We've been working on it for a while. But it's just amazing how quickly it's spread. Because again, it's just one of these things. If you come up with the right solution that makes sense that the customer can get real upfront benefit from that we get tremendous benefit from in terms of our operating efficiency, and in this case, our market share, these things tend to be very successful. So don't make them overly complex, focus on the things that matter and deliver real results, that's our company.
George O'Leary: Thanks, Doug. Thanks, Arnaud.
Operator: And our final question today will come from the line of Guillaume Delaby from Societe Generale. Your line is open.
Guillaume Delaby: Yes. Good morning, Doug. Thank you for taking my question. The final question basically, if we go back to the last six months, what is the main, also two main lessons you would draw from the last six months. And from that lesson, are those lessons are currently reshaping your vision of the company for the next two to four years? What is different now how do you see now TechnipFMC in two to four years versus how you used to see it six months ago?
Doug Pferdehirt: That's a great question. It's hard to get it down to two lessons learned. But for the sake of time, I will do my best, there is quite a few lessons that have been learned over the last six months. You know, if I just tried to pick two, you know, the first one is, do what is right, do what is right. If it - you know, it's got to feel right in the mind and it's got to feel right in the heart. So what do I mean by that? Be it you know, the way that we reacted to the pandemic, by putting 100% of focus on the health and well-being of our employees, our partners and our contractors, trusting them, giving them the tools that they need, helping them through this very difficult period and then allowing them to perform. And it's just amazing to me, what was done during this period of time, when, you know, many other companies failed when many other companies struggled, because the complexity of adapting to the number of changes that were being thrown at us on a weekly, daily and in some cases, hourly basis and our project directors and project teams and our manufacturing staff and our crews that route on the vessels, I just, I can't say enough. So if there is a lesson learned there, take care of them, keep them healthy, give them the tools, they need to do the job and have faith and trust and confidence. And it's amazing. It's amazing what people will do. The second one is really around the change of behaviors. You know, becoming too internally focused, not staying close to your customer, I think has really hurt a lot of companies. We remain very close to our customers. We weren't pestering them, they obviously had to work through their own challenges that were coming at them, but letting them know that we were there, we would support them in whatever way that we could. And we did in some very unique ways, in terms of helping them mobilize people, in terms of helping them with some early COVID testing kits, whatever that - whatever was required, just builds so much loyalty and so much trust. And they also are now extending to us even greater, let's say latitude to operate. So I see in the future, where we've always wanted to get, but when it comes to remote inspections versus on-site inspections, when it comes to more integration versus less integration. Look, I think this is the new reality, it is proven, it is creating value. And I think that this very terrible crisis that we went through, in some cases, probably accelerated some of this adoption - adaption and adoption by the industry, I would argue by maybe as much as five years. And I think - I do think it's here to stay, I don't think it will revert. We're talking to clients very seriously now about how they're going to operate their major projects going forward, both in Technip Energies as well as in Subsea, and I think you'll find our company playing a much more prominent role than we have historically.
Guillaume Delaby: Thank you very much for the color.
Operator: I would now like to turn the phone back over to Matt Seinsheimer for closing remarks.
Matt Seinsheimer: This concludes our third quarter conference call. A replay of the call will be available on our website, beginning at approximately 8 PM British Summer Time today. If you have any further questions, please feel free to contact any member of the Investor Relations team. Thank you so much for joining us, operator Lisa, you may end the call.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.